Operator: Greetings, and welcome to the Hillenbrand Fiscal Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the call over to your host, Trent Schwartz, Executive Director, Investor Relations for Hillenbrand. Thank you. You may begin.
Trent Schwartz: Thank you, operator, and good morning, everyone. Welcome to Hillenbrand's Fiscal Third Quarter Conference Call. With me today is our President and CEO, Kim Ryan; and our Interim CFO, Megan Walke. I'd like to direct your attention to the supplemental presentation posted on our IR website that will be referenced on today's call. Please note that our comments may contain certain forward-looking statements that are subject to the safe harbor provisions of the securities laws. These statements are not guarantees of future performance, and our actual results could differ materially. Also, during the course of this call, we will be discussing certain non-GAAP operating performance measures. I encourage you to review the presentation as well as our 10-Q, which can be found on our website for a deeper discussion of non-GAAP information, forward-looking statements and the risk factors that could impact our actual results. Finally, the results we will be discussing today for the fiscal third quarter exclude the divested Milacron Injection Molding & Extrusion, or MIME, business in both our consolidated results and in the Molding Technology Solutions, MTS, segment results. With that, I'll now turn the call over to Kim.
Kimberly K. Ryan: Thanks, Trent, and good morning, everyone. Thank you for joining today's call. Today, I'll discuss our execution against our strategic initiatives and share a high-level overview of our fiscal third quarter performance. Megan will then provide details on our financial results and outlook. We'll then be happy to take your questions. With more than 3 quarters of our fiscal year complete, I wanted to provide an update on the work undertaken this past year, which positions Hillenbrand well as the market recovers. Entering the 2025 fiscal year, our focus was on further simplifying our portfolio, reducing debt and advancing the integration and commercial synergy potential of our Food, Health and Nutrition businesses. Relative to portfolio and debt reduction, we've made significant progress against these objectives as we completed our MIME divestiture, simplifying our portfolio and generating approximately $265 million in net proceeds. In addition, we closed on the sale of our minority interest in the TerraSource business with net proceeds of approximately $115 million. Proceeds from these 2 transactions were used to reduce debt by over $300 million during the fiscal year, strengthening our balance sheet. With these calculated moves behind us, our focus is on our remaining higher-margin, higher growth and higher ROIC businesses serving the Performance Materials and Food, Health and Nutrition end markets. Within our Food, Health and Nutrition business, we've now achieved the targeted $30 million in run rate cost synergies from the Linxis and FPM acquisitions, 20 months post close versus our original 3- to 5-year estimate. Our teams continue to come together as we further integrate these businesses. Additionally, we are in the early innings of realizing the commercial synergies as we ramp up cross-selling efforts and as we leverage our legacy Coperion's extensive geographic footprint. Additionally, we have a far greater opportunity to offer more fulsome system solutions, creating a greater value for our customers as we leverage the historical Coperion strength of systems capabilities into the Food, Health and Nutrition markets. Our momentum and excitement in this area continues to build, and I'm very pleased with the team's progress. In May, we launched the unified approach of our market-leading FHN brands and technologies at the May iba, bakery and confectionery trade show in Düsseldorf, Germany. This growing and less cyclical end market now represents more than 25% of our global revenue. I'd like to give a brief overview of our fiscal third quarter and then provide an update on the current macro environment as well as the actions we are taking to further strengthen the enterprise. During our fiscal third quarter, we continued to experience cautious order behavior from customers amid continued global macroeconomic uncertainty and tariff announcements. It's important to emphasize that we do not believe these pushouts represent project cancellations, but rather delays on project decisions until trade policy becomes clear. Of note, we continue to see strong quoting and test facility activity, which is encouraging. We delivered revenue ahead of and adjusted earnings per share in line with our expectations coming into the quarter. Given the dynamic operating environment, our teams across the globe continue to work closely with customers to be ready to act when order decisions are made, while we continue to closely monitor strategic initiatives across the enterprise to optimize our cost structure. I'll now dive a little deeper into each segment. Starting with our Advanced Process Solutions, or APS segment, we saw a year- over-year decline in capital orders as tariff uncertainty resulted in customers continuing to delay investment decisions. This was not unexpected coming into the fiscal year with our lower starting backlog position. While conversion of quotes to orders remains delayed, interactions with customers, quote pipelines and test facility utilization continue to be strong across key end markets and geographies. We believe as the macroeconomic environment stabilizes, customer comfort levels will return and order patterns will normalize. In fact, since the end of the third quarter, we've seen an uptick in market activity and have won several key orders, which is very encouraging. We remain confident in the underlying markets, and the APS segment serves and in our share position. Although we have achieved the targeted cost synergies of FHN, we continue to focus on driving further integration opportunities, particularly around commercial initiatives, including full solution capabilities and our service offerings. On the cost side, we continue to drive synergies by executing optimization projects in response to the dynamic environment. Moving to MTS. Orders again remained stable in the quarter with hot runner quoting activity for electronics and packaging across China and India growing and areas like the Americas beginning to see pockets of momentum. While we see increased quoting activity from existing customers, we are also seeing incremental quote requests from new customers as well as orders for our controller products accelerating, typically indicating forthcoming demand for hot runners. External market indices again hovered near expansion as mold-making activities show signs of modest growth. With that, let me now provide an update on the evolving tariff landscape and the actions we've taken to mitigate the impact. Significant progress has been made on the near-term actions, and I'm very thankful to our teams for their relentless work in this area. We have implemented surcharge pricing where necessary across the portfolio and have adjusted contract terms to address potential additional tariffs should they go into effect. We also continue to progress on localizing supply chain while also strategically shifting inventories and manufacturing capabilities to complete our in-region, for-region initiatives where warranted. While the trade environment has affected order decision timing, the work we executed post-COVID to strengthen our manufacturing and supply chain footprint to primarily serve in-region, for-region demand has greatly reduced our direct exposure to tariffs. Before I wrap up, I wanted to share that we are progressing with our CFO search and are actively engaged with our search partner and many candidates for the role. In the meantime, I'm very pleased to have Megan Walke join us on today's call. Megan was appointed Interim CFO at the end of June and brings a wealth of knowledge as our Chief Accounting Officer and Corporate Controller. We are very fortunate to have some with Megan's skills to lead our finance organization while we continue to search for a permanent CFO replacement. With that, I'll hand the call over to Megan to discuss our financial performance and outlook.
Megan A. Walke: Thanks, Kim, and good morning, everyone. I'm happy to be here today. As a reminder, the Q3 results I'm discussing exclude the divested MIME business. Turning to our consolidated performance on Slide 8. Revenue of $599 million was down 24% or 10% on a pro forma basis compared to the prior year, driven by the divestiture of MIME and lower capital equipment volume in APS. Pro forma adjusted EBITDA of $84 million decreased 28% as productivity and favorable pricing were offset by lower volumes, unfavorable product mix and inflation. Pro forma adjusted EBITDA margin of 14.1% decreased 360 basis points, largely due to the impact of lower volume on operating leverage. We reported GAAP net income of $2 million, up from a loss of $249 million in the prior year due to the noncash impairment charge recorded in our hot runner product line in our MTS segment in fiscal year 2024. Adjusted earnings per share of $0.51 decreased 40% versus prior year, in line with our expectations, primarily due to the divestiture of the MIME business and lower APS volumes. Our adjusted effective tax rate in the quarter was 29.4%, which was 80 basis points higher than the prior year, primarily due to our geographic mix of income. We still expect our full year rate to be approximately 29%. Our cash flow from operations represented a use of approximately $2 million in the quarter, primarily due to lower customer advances from decreased order volume. Capital expenditures were $10 million in the quarter, and we paid approximately $16 million to shareholders through our quarterly dividend. Now moving to segment performance, starting with APS on Slide 9. Revenue of $507 million decreased 11% as expected compared to the prior year, driven by lower volume, partially offset by favorable pricing. As Kim mentioned earlier on the call, we are beginning to see signs of market activity with several key orders placed and down payments received from customers since the close of the third quarter, giving us confidence in our Q4 and full year outlook. Adjusted EBITDA of $80 million decreased 27% year-over-year, primarily due to lower volume, unfavorable product mix and inflation, partially offset by productivity and favorable pricing. Adjusted EBITDA margin in the quarter was 15.8%, which was down 340 basis points from the prior year, again, as a result of lower volumes, resulting in fixed cost absorption headwinds. Backlog of $1.57 billion decreased 10% compared to the prior year as expected. As Kim mentioned, we continue to see decision delays in larger capital orders amid the tariff uncertainty. However, we have seen several large orders placed since the end of the third quarter and remain ready to execute as customers return with order decisions. We remain confident that recent backlog deceleration is macro-driven and not permanent and that long-term demand continues to be robust and our competitive positioning remains strong. Turning to MTS on Slide 10. Pro forma revenue of $92 million decreased 2% year-over-year as growth in our hot runner business was offset by a decrease in mold-based sales from the 2024 exit of a low-margin product line. Pro forma adjusted EBITDA of $18 million decreased 9% as expected. Pro forma adjusted EBITDA margin of 19.9% was down 170 basis points year-over-year due to tariffs, partially offset by pricing and productivity. Pricing remains challenging, but we saw some improvement in the quarter, which was in line with expectations. Pro forma backlog of $55 million increased 7% year-over-year as a result of increased hot runner and mold-based components demand and was flat sequentially. External indices, which track the current state of the mold making market entered expansion mode in our fiscal second quarter for the first time since early 2022. Despite turning into contraction again in early April following tariff announcements, the index is again near expansion in June with demonstrated increases in market activity. The short-cycle nature of this business means we can see our recovery quickly and at a high flow-through to the bottom line when volumes return. Turning to Slide 11. Net debt at the end of the third quarter was $1.51 billion, and the net debt to pro forma adjusted EBITDA ratio was 3.9x. Immediately following the quarter end, on July 1, we completed the divestiture of a minority stake in TerraSource, which resulted in net proceeds of approximately $115 million, ahead of our expectations of approximately $100 million, which created a favorable impact to our net leverage of roughly 0.2x, implying 3.7x net leverage. We continue to prioritize debt paydown. Additionally, in early July, we completed an amendment to our credit facility and redeemed our notes due September 2026. This successful refinancing provides greater operational and financial flexibility for our business and pushes out our next maturity to 2029. Now turning to Slide 12. I'll cover our guidance for the remainder of fiscal year 2025. While we continue to expect customers to postpone certain larger investment decisions until there is greater clarity around tariffs, we are beginning to see stabilization within parts of our businesses, as mentioned by the orders we witnessed within APS subsequent to the quarter end. Coming into the final quarter of fiscal year 2025, we are updating our core outlook. Specifically, we are raising the top and bottom of our revenue guidance range from $2.56 billion to $2.62 billion previously to current guidance of $2.59 billion to $2.63 billion, narrowing the range for adjusted EPS from $2.10 to $2.45 previously to current guidance of $2.20 to $2.35 and maintaining the midpoint of our previous guidance. Our updated full year operating cash flow is expected to be approximately $60 million, with $40 million of expected CapEx as we prioritize certain projects related to in region, for region. The recent key order wins in late July provide us greater line of sight to achieve our full year expectations. Please review Slide 12 for additional guidance assumptions. With that, I'll turn the call back over to Kim.
Kimberly K. Ryan: Thanks, Megan. Before we open the line for Q&A, I'll end our prepared remarks with a few closing comments. We continue to make strides in advancing Hillenbrand through proactive execution of strategic initiatives. The breadth and market position of our product offerings coupled with our exceptional systems integration capabilities and leading technical competencies enable us to offer a compelling value proposition to our customers across many end markets. We deliver the highest quality and highest output equipment and systems available anywhere in the world and then leverage our global network of aftermarket and service professionals to maintain, upgrade and modernize this equipment to maximize its value for our customers throughout its life cycle. We continue to drive initiatives across the enterprise to mitigate the impact of decision delays in light of the dynamic macro environment by also capturing opportunities as a result of our portfolio transformation. Although we've now achieved the $30 million run rate cost synergies from the Linxis and FPM acquisitions, we continue to identify additional cost opportunities while turning more attention to commercial synergy initiatives already underway. Our current transformation, including actions we've undertaken around our in-region, for-region approach provide us with the capability to successfully manage the changing dynamics with speed and coordination across the enterprise. I remain confident in our business, our technology and, most importantly, our people as well as the long-term growth trends of the markets we serve. The opportunity we see in front of our organization is large and will continue to allow our businesses and our teams to deliver long-term success for Hillenbrand and our shareholders. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Moore with CJS Securities.
Daniel Joseph Moore: I appreciate the time and taking questions. So to start with APS, just talk a little bit more about the uptick in orders that you're seeing post quarter. Is it primarily larger plastics polyolefin or is it FHN orders, both? And just how do we kind of think about backlogs and the direction of backlogs going forward? Maybe it's a little early in the quarter to look out that far, but a little bit more detail on where you're seeing the strength would be really helpful.
Kimberly K. Ryan: Okay. Thanks for your question, Dan. So on the APS side, we've actually experienced it in several different geographies as well as several different end markets. So it's really been primarily on the plastics side, the orders that we've seen come in, the larger orders that we've been tracking for some time. It's really been primarily on the plastic side, both in the polyolefin area as well as in the engineering plastics area. And from a geographic standpoint, that's been U.S., it's been a couple of different locations in Asia that we've seen these orders come in from. So we're really pleased. As you know, whenever we're working a project with our customers, the intimacy with which we constantly communicate with them, the constant updates on what's going on in the world around them, where should we manufacture and engineer the products and systems that they want to bring in, that has really, I think, been a real separator between us and others in the market because we've stayed very close to these customers so that when -- as soon as the opportunity presents itself to make the decision, we can then hit the ground running. And you know that we do things like place large orders with our subsuppliers at the time we take the purchase order, so that we can lock in pricing. We lock in those engineering resources where we think they can best serve the customer at the right price and right capabilities. So all of that, I think, has really served us well in being ready and being on our toes when these customers place the orders. And obviously, that has been -- while some of those have been pushed out, I think that close relationship with customers has put us in the position to run as soon as they are ready to run. And that's been really important. In terms of the backlog, we are a little bit early in the quarter to see that. We've continued to see really good momentum in the businesses in terms of, again, test facilities, constant quoting with our customers. In some areas, we've continued to see upticks in the quoting models. And for instance, on the MTS side, we've seen upticks in quoting levels and not just with existing customers, but also with new customers, both of which are really exciting for us. So generally speaking, while I wouldn't say it's a trend line yet, I would certainly say, it's -- these are a few dots that give us a lot of confidence certainly in the Q4 guide and also give us some good feelings about how customers are moving ahead because these products are needed. These systems are needed. The capacity is needed because we're planning for periods 12 to 24 months in advance as we're working with them on these types of systems, whether you're talking about larger food systems or the plastic systems for APS.
Daniel Joseph Moore: Very helpful. Maybe switching gears to MTS. Encouraging to see the backlog up 7%. Where are you seeing improved demand and opportunity there? And just talk a little bit more about quoting activity, conversion times. Obviously, it's faster -- the faster turn businesses are you seeing things start to improve. I think you said that your indicators were positive for the first time in maybe 3 years. So any color there is great.
Kimberly K. Ryan: Yes. It's been since Q2 '22 to be exact, so exactly 3 years since we've seen kind of the uptick in being in the investment mode again. What I would say is that we're still seeing kind of tentative volume in the EU and in Japan and Korea and some of the markets we play in there. But what has been very exciting is that we've been able to launch some new products into the India market as we've had a footprint there for decades. And as we continue to see evolution of the supply base, moving into India, we've seen both an uptick in terms of the quotes and the orders on hot runners and controllers. And controllers are typically the precursor for hot runner purchases. So being on the ready in India has been really good for us. We're also continuing to invest in our capabilities there in India. And then China has really been focused. That's been a really competitive market. However, we've really focused our efforts there on local for local and have seen really good stability in that market. And I think it's worth noting that we had some really good interest in some new products that we've launched into that China for China market on some high-end -- some mid-tier -- high-end, mid-tier products that are really -- they're really best suited for some of the applications that we are seeing moving into that China local market.
Daniel Joseph Moore: Very helpful. Maybe one more and I'll jump back in queue. Obviously, cash flow, obviously, this year has been a challenge with fewer upfront orders. Just maybe talk about how do we think about cash flow from here when we might be able to get back to more normalized levels of conversion rates post the sale, pro forma net leverage 3.7x. Do we think about that starting to tick lower from here? And kind of how quickly do we think we can get back down to maybe 3x? I know there's a lot there, but just trying to get the cadence as you're thinking about things over the next 2, 4 plus quarters.
Megan A. Walke: Thanks, Dan. Yes, we -- obviously, paying down debt is our #1 priority. So you'll continue to see that from us over the coming quarters and months. That's number one. And cash flow, as you pointed out, was challenging in the quarter. We -- as we see these orders coming in, especially the ones we saw in July, that's encouraging for our cash flow position as we collect advances on those orders and start to see momentum that's really going to depend on how quickly we see cash come in on those advances and then we then can accelerate the debt pay down further. In the near term, I think leverage will stay about where we've seen it. So no major changes. But again, that really is dependent on as the orders come in and how quickly they come in.
Kimberly K. Ryan: And Dan, you're very well aware of how we recognize revenue on these projects over time. And so most of these projects, they don't have a down payment and then it's 2 years out. There are progress payments that we structure into these contracts to maintain a cash- positive position as we're purchasing goods for them, as we conduct certain key pieces of engineering and certain key pieces of construction, and then finally, as we deliver it. So there will be progress payments along the way on these projects. Again, it's very important that we continue to negotiate the terms of those contracts as we have improved that pretty dramatically over the last 3 or 4 years in terms of really analyzing and understanding those cash flows. So as the orders come back, we have a lot of confidence that the cash position returns to more normal flows and the contracts that we're inking and the process we have in place to make sure of that, make sure that we are able to do that and take down our leverage. And the biggest driver of leverage -- yes, the biggest driver of leverage is some of the pressure we've seen on EBITDA. And as that EBITDA begins to return, it's that -- it's not just the cash, it's the EBITDA and the balance sheet that will dramatically -- that can dramatically improve the leverage ratio.
Operator: Our next question comes from the line of Matt Summerville with D.A. Davidson.
Matt J. Summerville: A couple of questions. Just within APS during the quarter, I realize things maybe seems a little bit in July, but I just want to understand, when you look at total orders in fiscal Q3, help me understand what the book-to-bill looked like in the plastics side of the business and in FHN? Specifically, I'm looking for a little bit of color on order activity in both of those buckets during the quarter and what that meant for kind of book-to-bill. And then I have a follow-up.
Kimberly K. Ryan: So on the MTS side of the house, we were very stable on book-to-bill. We did see a small dip in APS book-to-bill. We don't -- as you know, we don't break out book-to-bill publicly for the plastics business versus the FHN business. I would say we did see a little tick down, which we expect will tick back up here in Q4 for the APS side of the house. But again, MTS has been very stable and APS has been stable all year, a little tick down, but that will self-regulate in Q4, we expect. If that -- does that help answer your question?
Matt J. Summerville: Yes. I guess just with respect to FHN, I'm trying to understand if you're seeing positive inbound order activity in that piece of the business?
Kimberly K. Ryan: Yes. I would say we're seeing stability on the FHN side of the house, and that's in the base business that we're doing. What I would point to is those guys have a couple of levers for growth. In addition to the markets that they operate in, they are also moving into 2 other large levers. Those levers being -- first of all, they can take advantage of the legacy Coperion's footprint globally, and they can more quickly move in and leverage kind of the legal entities that we've got set up in other viable markets for them. And then the second piece is they've now got the full breadth of the portfolio. And since the beginning of bringing these companies together, we've been bringing the sales forces together so that, that sales force now can avail themselves of not a single product line for DIOSNA or for Shick Esteve or for VMI, they can avail themselves of the entire portfolio and sell that entire portfolio. And so while we have seen good cross-selling initially, our focus -- a lot of our focus was on making sure that we got all the cost elements captured that we had laid out for ourselves. Now having achieved that, I would say, all of the attention goes to how to make sure that we're escalating that cross-selling initiative and the systems selling initiative on FHN, which we absolutely know will bring us tremendous value. We sold about $40 million to date in cross-selling. So we're excited by that and expect to see that continue to grow because a lot of these customers were not even available the full breadth of the portfolio. They were not even aware of all the things we do. And that has been, I think, really has changed the way our representatives can go in to support customers for the jobs and projects they are running.
Matt J. Summerville: That's helpful. And then just one last one, Kim. Maybe a different question on free cash flow. This time last year, I think you had a dividend discussion. Your leverage is 3.5x net. You were generating enough cash to cover the dividend. This year, your leverage is a little bit higher, and I realized there's a numerator and denominator, as you pointed out in that equation. Are you thinking any differently about the dividend? Is that back up for discussion as you sit here today?
Kimberly K. Ryan: Yes. What I would say, Matt, is that we regularly review this with our Board of Directors, all elements of the capital allocation coming up for the year. We've -- we're just moving through our strategic planning process, our annual planning process now and we will reevaluate that on an ongoing basis to make sure that we are delivering best long-term value for shareholders. At this time, I don't have anything specific to announce regarding the dividend. But please rest assured that, that is always a topic that the Board of Directors takes into consideration as well as how we evaluate all of the things in the portfolio and making sure that we're delivering the greatest value for shareholders at all times.
Operator: [Operator Instructions] Our next question comes from the line of Mitchell Moore with KeyBanc Capital Markets.
Mitchell Brian Moore: So just within your commentary for APS and the orders, what do you think has changed between the end of the third quarter and early fourth quarter with customers starting to pull the trigger on some of these larger projects?
Kimberly K. Ryan: Well, I think it's a couple of things. I think folks are really settling into figuring out how they're going to navigate some of the global trade topics. I don't think anybody is waiting necessarily that tariffs are going to go away. I don't think that's what people are waiting for. I think people are -- have been waiting for understanding how they can navigate them. One of the things that I think is a real differentiator for Hillenbrand is the fact that we've got these in-region, for-region footprint that allow us to offer alternatives in how we can fulfill these projects that give them flexibility in terms of how we can -- we don't have to fill everything from the U.S. and be subject to tariffs on everything we bring into the market. So for instance, for some of the projects that have broken, we have been working with our customers closely for some time to say, okay, are there other ways to deliver key components or other suppliers that we can leverage to help deliver components that will not be as exposed to tariff or trade control topics. And so that, I think, is a real differentiator for us and gives us a lot of ability to be responsive. Some of these projects, the capacity is definitely needed. And so -- and they're planning for capacities that need to be online 2 years out or 3 years out from now. And so this -- when they define what is needed, we can start giving them a wider breadth of opportunities for how to execute that. And I think those -- while those options take time to work through, I think that they've seen that the capabilities exist and the supply -- the existing supply base exists to be able to fulfill their needs even if we do it a little differently than we have historically. And the capabilities of each of our manufacturing locations in India, in China, in Europe and the U.S. have -- we have shifted some of those capabilities so that we can best serve those local-for-local markets in light of the environment that we're all operating within. Does that answer your question?
Mitchell Brian Moore: Yes. Absolutely. That was great color. And then just kind of with that order improvement, do you ultimately think the backlog finishes up this year sequentially? And maybe further out, do you think those order trends support some optimism for growth in APS next year?
Kimberly K. Ryan: Yes. I do hope that they will, but I've got a dot right now. So I'm looking for a couple more to create a trend line. But what I would say is we continue to remain very active with customers, and we continue to see that our test labs are full. The collaborations with customers are full, the quote pipelines are -- we've seen good -- really good progress on the quote pipeline. I mean orders are lumpy. So when you've got some of these larger products -- projects, orders can be lumpy and perfectly timing those decision time lines. As you saw in quarter 3, we had anticipated some of those would be made in quarter 3, and they came in 2 weeks later. But what I would say is we're continuing to monitor that, and we are keeping our teams fully engaged, and we believe that those are not canceled. They are just timing topics that will move into '26. We haven't imagined a giant turnaround. We've imagined that these will come back on -- in a similar fashion to what we've seen when we've had recovery in these markets before.
Mitchell Brian Moore: That's helpful. And if I could just sneak one more in. Just shifting to MTS. Are tariffs and maybe some of the improved activity levels you spoke to in the hot runner space supporting a more constructive pricing environment there?
Kimberly K. Ryan: I think it's still a pretty competitive market given that we -- given that the volumes have been low for a while, I think there's still a pretty competitive environment. But I think the fact that we've been able to move some of our capabilities in MTS similar to what we've done in APS, move some of those capabilities so that we can be more in-region, for-region and that we can -- that we've been able to move some of these new products into launch, which are kind of fit for purpose and some of these markets gives us an ability to price a bit better. We're still a bit behind on price cost coverage on the MTS side of the house, but that has been improving pretty dramatically over the last several quarters. And so we're headed for a better situation for the year. It's -- but it's been a fairly competitive environment because of the duration of some of the volume reductions that we've seen.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the floor back to Ms. Ryan for any final comments.
Kimberly K. Ryan: Great. Thank you. Thanks again, everyone, for joining us on our third quarter call. We do appreciate your ownership and interest in Hillenbrand, and we look forward to talking to you again this fall when we will cover our fourth quarter and our full year results as well as our guide for 2026. Thank you very much, and have a great day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.